Operator: Good day, everyone, and welcome to Movado Group, Inc. First Quarter Fiscal Year 2025 Earnings Conference Call. As a reminder, today's call is being recorded and may not be reproduced in full or in part without permission from the company. At this time, I would like to turn the conference over to Cody McAllister of ICR. Please go ahead.
Cody McAllister: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; and Sallie DeMarsilis, Executive Vice President, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the company's Safe Harbor language, which I'm sure you're all familiar with. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC, which includes today's press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I would like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Cody. Good morning, and welcome to Movado Group's first quarter conference call. With me today is Sallie DeMarsilis, our COO and CFO. After I review our progress on our strategic growth initiatives, Sallie will review our financial results in greater detail. We would then be glad to answer any questions you might have. Our results for the first quarter were in line with expectations -- with our expectations. Sales declined by 5.7% to $136.7 million and operating income was $3.3 million versus $10.9 million last year. When we reported fiscal 2024 results in March, we shared our new investment growth strategy in which we would utilize our strong balance sheet and cash position to invest behind our brands and drive growth in our biggest and most important markets. We mentioned that we would see an impact to profitability in the short term, but over time, these investments would help build a strong foundation for driving long-term sustainable sales and profitable growth. We're already making progress on these initiatives, which will enable us to drive accelerating growth throughout the year. We are building cohesive storytelling and messaging across our brand portfolio. As the year progresses, we will amplify our marketing investments and support key growth drivers for our brands, particularly in the second half of the year. During the first quarter, we continued to exercise strong discipline on our balance sheet, ending the quarter with $225.4 million of cash and no debt. I would now like to share some brand and regional highlights for the quarter, along with some of the key initiatives that we are working on for the balance of the year. Last year, we began rolling out a brand refresh from Movado, our biggest and most important owned brand. I would like to share with you some of the progress that we have made and some of the significant steps that we will be taking throughout the year, as we continue in this journey. This spring, we launched our new Movado TV commercial, further building our brand image, supporting our iconic Museum Classic chronograph for him and our iconic Museum Classic for her. This campaign is intended to support -- important to support important gifting moments during the spring, such as Mother's Day, Father's Day and graduations. We also launched our new Bold Quest collection, supported by a strong digital campaign in both still life and video. Bold Quest is one of our most successful launches ever, and we are extremely excited by it. As we move through the year, we will round out the collection with the addition of smaller sizes, chronographs and automatic versions. We are confident that the Bold Quest collection will quickly grow into one of our most important collections. We are also continuing to drive our 360-degree messaging for the Movado brand, with a new look at the point -- at point of sale that will launch in the second half and new iconic packaging as well. The final piece of the puzzle in support of the Movado brand refresh is our biggest advertising campaign ever, which is planned to launch in September. This campaign will feature distinctly accomplished brand ambassadors, who are masters of their craft, and who embody the excellence, quality and distinctive image of the Movado brand. Although most of our Movado brand building efforts have not even launched yet, we're already seeing early results from the initial stages of our brand refresh. Our movado.com direct-to-consumer platform was up double digits for the first quarter with momentum continuing into the second quarter. We are beginning to see improved results in our department store channel as well. These early successes make us eager to see the full impact of our Movado brand building efforts, as they roll out over the rest of the year. We had planned our Movado company stores to be down for the first half, as we didn't anniversary certain programs this spring. We would expect that our outlet business will return to growth in the second half, which should benefit from our new exciting advertising campaign in support of the Movado brand. In our Licensed Brand division, sales were down 4.8% during the quarter. We expect results to improve throughout the year with a return to growth for the 12 months. We're seeing particular strength in our licensed brand jewelry business. In Hugo Boss, we are focused on two key families for him, the Candor Automatic and the Skytraveller Chronograph, a fresh interpretation of a classic. We're also featuring Lucy, a beautiful new tank for her in our spring advertising campaign with Suki Waterhouse. In Tommy Hilfiger, we continue to stand behind our elevated TH 85 collection, which was launched late last year with an automatic family further communicating our support of mechanical watches across our brand portfolio. This spring, we are launching a GMT model featuring a Swiss movement. We're also launching the new Steward watch, a classic multifunction model at $179. In Coach, we are excited to launch our new advertising campaign for him with basketball superstar, Jayson Tatum. Jayson is currently featured wearing our new Jackson Chronograph. To further strengthen our presence in men's watches this spring, we are introducing our [indiscernible] automatic collection starting at $295. We continue to see strong results in the U.S. with momentum in our department store and Amazon channels, led by out Carrie and Elliott families. Lacoste continues to perform very well, and we are excited by the continued development of our Boston family and the iconic 1212 family. We are seeing strong growth in our jewelry collection, which continues to show increasing penetration at point of sale, and we have an exciting pipeline of new products coming for the second half of the year. In our third full year with the Calvin Klein brand, we continue to be excited by the potential of this great brand in both watches and jewelry. Our amplified marketing programs for CK launches in the second quarter and is focused on building awareness for CK watches and jewelry in key markets in Europe, India, the Middle East, Brazil and Mexico. During the second quarter, we are launching our automatic iconic CK family, featuring a transparent dial with distinctive CK branding for him. We are also launching a new family for women, the minimalist feel collection. While challenges remain in its home U.K. market, we are pleased with the progress that we are making in our Olivia Burton brand. We are seeing strength in our ob.com business, driven by the continued success of our Grosvenor family and increasing penetration of jewelry with the Honeycomb and Celestial Sun collections. From a regional focus, from a regional perspective, we are focused on returning our Movado brand to growth in the United States and returning our licensed brand portfolio to growth in Europe. While the retail environment remains challenging in these regions, we are seeing traction in our marketing efforts and beginning to see slight growth in our major European markets. Many of our marketing efforts and new product initiatives are starting during the second quarter and will accelerate throughout fiscal 2025. We continue to see strong sell-through results in Mexico, Brazil, India and the Middle East, which are important markets for the company. While it is still early in the year, we are pleased with the results for the first quarter, where we have begun to lay the groundwork for the balance of the year, as we focus on returning -- as we focused on returning the company to revenue growth. We are focused on collaborating with our retail partners in our major markets and continuing to drive innovation and excitement in our marketing efforts. Our teams have remained disciplined and continue to focus on our priorities and executing at a high level in a challenging market. As we have said earlier in the year, we are utilizing our strong balance sheet and cash position to invest in our brands and our biggest markets to drive growth and profitability for the long term. We remain committed to the initiatives that we have put in place, and we are looking forward to the impact they will have on our business. I would now like to turn the call over to Sallie to go through our financial results, as well as our outlook.
Sallie DeMarsilis: Thank you, Efraim, and good morning, everyone. For today's call, I will review our first quarter fiscal 2025 results and balance sheet and then discuss our outlook for the remainder of the year. Overall, we are pleased with our performance for the first quarter of fiscal 2025. As expected, our performance trailed the first quarter of fiscal 2024 yet included significant progress on our key strategic initiatives, which we believe has us positioned to achieve our annual objectives. Turning to a review of the quarter. For the first quarter of fiscal 2025, sales were $136.7 million, as compared to $144.9 million last year, a decrease of 5.7%. In constant dollars, net sales decreased 6.1%. By segment, net sales decreased across our own brands, licensed brands and company stores. By geography, U.S. net sales decreased 6.2%. International net sales decreased 5.4%, as compared to the first quarter of last year. On a constant currency basis, international net sales decreased 6.1%. Gross profit as a percent of sales was 55.3% compared to 56.6% in the first quarter of last year. The decrease in gross margin rate as compared to the same period last year was primarily driven by unfavorable channel and product mix and the deleverage of certain fixed costs, as a result of lower sales. Operating expenses were $72.2 million, as compared to $71.1 million for the same period of last year. The increase was driven primarily by an increase in payroll-related expenses. Primarily as a result of the reduction in sales and gross margin, operating income decreased by $7.6 million to $3.3 million, as compared to $10.9 million in the first quarter of fiscal 2024. We recorded approximately $2.1 million of other non-operating income in the first quarter of fiscal 2025, which is primarily comprised of interest earned on our global cash position. We recorded income tax expense of $2.3 million in the first quarter of fiscal 2025, as compared to $2.5 million in the first quarter of fiscal 2024. Net income in the first quarter was $2.9 million or $0.13 per diluted share, as compared to $9.1 million or $0.40 per diluted share in the year ago period. Now turning to our balance sheet. Cash at the end of the first quarter was $225.4 million, as compared to $198.3 million in the prior year period. Accounts receivable were $101.7 million, as compared to $94 million at the same period of last year due to timing and mix of business. Inventory at the end of the quarter was $159.6 million, a decrease of $35.6 million or 18.2% below the same period of last year, primarily due to the timing of receipts. We are comfortable with the composition and balance of our inventory at year-end at quarter end. In the first quarter of fiscal 2025, capital expenditures were $1.6 million, and we repurchased approximately 39,000 shares under our share repurchase program. As of April 30th, 2024, we had $16.8 million remaining under our authorized repurchase program. Subject to prevailing market conditions and the business environment, we plan to utilize our share repurchase plan to offset dilution in fiscal 2025. Now, I would like to discuss our outlook. For fiscal 2025, we continue to expect net sales in a range of approximately $700 million to $710 million; gross margin of approximately 55%; operating income in a range of $32 million to $35 million. This expectation includes increased investment in marketing and brand building of approximately $25 million, as we have previously communicated, as well as an increase in performance-based compensation and other payroll-related costs, as compared to fiscal 2024. An effective tax rate of 22% and earnings in a range of approximately $1.20 per diluted share to $1.30 per diluted share. As previously mentioned, we expect the incremental marketing spend to drive long-term top line growth. However, sales trends are expected to improve behind the spend, as the year progresses. The company, therefore, expects to return to sales growth in the second half of the year. This outlook does not contemplate significant further impact of economic deterioration and assumes no further significant fluctuations from prevailing foreign currency exchange rates. I would now like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Michael Legg with the Benchmark Company. Please proceed.
Michael Legg: Hello.
Efraim Grinberg: Hi, good morning, Mike.
Michael Legg: Good morning. Sorry, I have bad connection, if I fade out. Can you just talk a little bit about when you give your forecast, we obviously know the marketing spend is going to help move that revenue number. Can you just talk about your viewpoint on [Technical Difficulty]
Efraim Grinberg: Mike, you're cutting out.
Michael Legg: [Technical Difficulty] from the consumer.
Efraim Grinberg: So, I guess, you asked our viewpoint about the consumer, I think. Is that correct?
Michael Legg: Yes.
Efraim Grinberg: Okay. Yes. So we believe that the consumer is challenged right now, especially in our target audiences in the US and Europe. But historically we have seen that when we do creative things from a product perspective and also from a marketing perspective, which we are diligently working on for this year, that we will be able you know, be able to drive the consumer. You have to work harder when the consumer is challenged to drive demand. And that's what our plan is based on for this coming year. Obviously, when we instituted the plan at the end of last year, we knew that we could affect real change towards the second half of this year and that is -- still remains our plan. We're really excited about the launch of Quest, and so we see that innovation and it's an excellent value opening at $595 and the Movado Bold Collection is doing really well. And that will also accelerate throughout the year as we build demand for the Bold Collection and our Quest family, as well as our Classic Museum Collections. And within each of our brands, we have important marketing initiatives and important products launching throughout the year.
Michael Legg: Does making [Technical Difficulty]
Efraim Grinberg: Mike, I think there's something wrong with your connection. Mike?
Michael Legg: Yes, hi. Sorry, I was just asking does your guidance [Technical Difficulty]
Efraim Grinberg: Mike, I'm sorry, we can't hear you. Mike?
Michael Legg: Yes [Technical Difficulty]
Efraim Grinberg: No, I think there's something wrong with your connection. You may have to hang up and dial back in. Mike, are you back?
Operator: I'm going to check on him. One moment. Thank you.
Efraim Grinberg: Thank you. Okay, if we don't hear back in a few seconds, I will end the call. Okay. Well, I guess we won't have Mike back. But thank you all for participating on today's call. And we look forward to communicating throughout the year. And we do have very exciting plans in place for the second half and I look forward to sharing those with you on future calls.
Operator: We do have Mike back.
Efraim Grinberg: Okay, Mike, go ahead.
Michael Legg: I apologize. Just wanted to understand if your guidance factors in any interest rate cuts helping the consumer?
Efraim Grinberg: Not particularly, no.
Michael Legg: Okay.
Efraim Grinberg: We're still planning on operating in a challenging environment that doesn't deteriorate.
Michael Legg: So if we get interest rate cuts helping the consumer, it could be obviously a positive towards…
Efraim Grinberg: I would think that -- Yes. I would think that that would be a positive with the consumer now. I don't think you get an immediate effect of that benefit either.
Michael Legg: Okay. Okay. And then just any guidance you can give us. I know it's during the quarter, but graduation, Mother's Day, Father's day, you talked a little bit about seeing strength in some areas. Just any comments on how we're seeing the holidays come in?
Efraim Grinberg: Yes, I think it's obviously Mother's Day is past us. Father's day and graduations, a lot of it comes throughout May and June. And so it's a little early for us to see that. But we are seeing some pockets of improvement although it's not and as I talked about, very, very strong trends on our own website. And so that leads us to have a good sense of optimism, some strengthening of our department store channel, which is obviously an important channel for the company. But I would still believe that the really major effect and benefit for the company will begin to come into the second half of this year.
Michael Legg: Okay, great. And then just one last question. Just how's jewelry doing versus expectations?
Efraim Grinberg: Jewelry is doing very well, so that we're really pleased with it. And that's in our licensed brand portfolio and in Olivia Burton. We are in the process of -- we'll launch some major new collections for the Movado brand as we reposition the jewelry category in Movado during the second half and probably more into the fourth quarter. But within our licensed brand portfolio, we're seeing some real good pockets of strength in jewelry. It is a majority focus for the company, and we did have growth in that area during Q1.
Michael Legg: Okay, thank you. Congrats on getting the quarter out.
Efraim Grinberg: Okay. Thank you. Thank you very much, Mike. And as I said earlier, we look forward to talking with all of you again during our second quarter conference call and be able to continue to share progress on our marketing initiatives and product introductions for this coming year. Thank you very much.
Operator: Thank you. This will complete today's call. You may disconnect your lines at this time. Thank you for your participation.